Operator:  Good afternoon everyone and welcome to the WD-40 Company first quarter 2008 earnings release conference call. This call is being recorded. At this time I’d like to turn the call over to the Vice President of Corporate and Investor Relations for WD-40 Company, Ms. Maria Mitchell.
Maria M. Mitchell: Good afternoon and thank you for joining us for our first quarter earnings call for fiscal 2008. Today we are pleased to have Gary Ridge, President & CEO and Mike Irwin, Executive Vice President and CFO. This conference call contains forward-looking statements concerning WD-40 Company’s outlook for sales, earnings, dividends and other financial results. These statements are based on an assessment of a variety of factors, contingencies and uncertainties considered relevant by WD-40 Company. Forward-looking statements involve risks and uncertainties which may cause actual results to differ materially from forward-looking statements including the impact from cost of goods, the impact from new product innovation, foreign exchange rate and the uncertainty of market conditions both in the United States and Internationally. The company’s expectations, believes and projects are expressed in good faith and believed by the company to have a reasonable basis but there can be no assurance that the company’s expectations, beliefs or projections will be achieved or accomplished. The risks and uncertainties are detailed from time-to-time in reports filed by WD-40 Company with the SEC including Forms 8K, 10Q, 10K and readers are urged to carefully review these and other documents and to stay up to date with our most recent company developments provided in the investor relations section of our website at www.WD40.com. Our second quarter fiscal 2008 earnings conference call is scheduled to take place on Wednesday, July 2, 2008 at 2:00 pm. At this time I’d like to turn the call over to Gary Ridge.
Gary O. Ridge : Good day. Welcome to today’s conference call. Today we reported net sales of $79.2 million for the first quarter of fiscal year 2008 an increase of 10% over last year. During the first quarter our sales figures clearly represent the results of our ongoing strategy to diversify the company’s brands across boarders and trade channels. In fact, in the first quarter 67% of WD-40 Company brand sales and 56% of out total sales were outside the United States proving we are truly a global company. Net income for the first quarter was $6.2 million up 9.4% compared to the first quarter last year. Diluted earnings per share for the quarter were $0.36, up 10% from $0.33 last year. By product segment our lubricant sales in Q1 were $57.3 million an increase of 17.2% and year-to-date are the same. Hand cleaners were $1.7 million down .1% and household products were $20.1 million down 5.7%. Lubricant sales were up 17% globally in the first quarter with the growth driven by the European and Asian Pacific trading blocks. Our core lubricant business continues to be a growth opportunity with geographic expansion and the addition of WD-40 Company smart straw. As announced in Q4 we plan to convert many of our can sizes exclusively to the smart straw format in the United States in late March 2008. Household products were down 16% globally in Q1 versus the first quarter last year due to the declines in the euro. US household product sales were down 9% in the first quarter versus last year as a result of decreased distribution and temporary supply chain disruptions. The supply chain disruptions resulted in lost sales of approximately $1 million. 2001 household brand sales in Europe declined 11% versus the first quarter last year as a result of reduced account specific promotional activity with key customers along with some competitive activity. The decrease in the US and Europe were partially offset by an increase in Australia and Canada which grew 27% and 17% respectively. These increases were driven by the grown of Novak sales in Australia and Spot Shot sales in Canada. Heavy duty hand cleaners continued to be a small stable and profitable line of our business for the company. Hand cleaners represented 2% of the global sales this quarter and in Q1 were essentially equal to the same period last year. Now, let’s review sales by region. In the Americas trading block sales for the quarter were $43.6 million down 3.5%. The Americas region is our largest segment and accounted for 55% of the total sales in the current quarter. Last year the Americas accounted for 63% of our total company sales. In the US sales were down 6.4% in Q1 versus the first quarter last year. Household product sales in the US decreased by $1.5 million or 9% due to the sales of Spot Shot, Carpet Fresh, X-14 and 2000 Flushes. US sales were down 4% due to decrease promotional activity and inventory levels with key customers. Declining shelf space and category impacted Spot Shot and Carpet Fresh sales as the carpet care reallocate space to non-aerosol stain removers and air care products. The sales decreases Spot Shot aerosol was partially offset by the increase distribution of Spot Shot trigger. The company expects to further offset these declines through new packaging and promotional offerings and innovation including a non-aerosol environmentally friendly product such as the new Spot Shot Pet Clean which is non toxic and biodegradable. US sales of X-14 hand surface cleaners and X-14 and 2000 Flushes toilet bowl cleaners declined due to lost distribution as well as a temporary manufacturing disruption that resulted in loss sales totaling $1 million. The entire toilet bowl cleaning category has declined in the grocery trade and consumer preferences have shifted towards the drop in and manually cleaning categories. The company also continues to commit marketing and R&D resources to support and create innovation for these brands. In Latin America our sales were up 27.6% in the quarter. Our Latin American business is primarily based on our lubricant WD-40 and 3-in-1. WD-40 brand sales were up 26% in the quarter due to increased distribution and a successful bonus ounce promotion. In Canada our sales were off 5.3% in the quarter. We sell lubricants, hand cleaners and household products in Canada. Canada sales were down about 5% in Q1 due to the WD-40 brand. Sales of the WD-40 brand declined against strong performances in western Canada during the first prior year quarter. Looking at Europe our European trading block sales were $28.4 million for the quarter up 29.7%. Our European business includes lubricants and household products. We sell into Europe through a combination of direct operations in certain countries as well as through distributors in other countries. The European region generated a sales increase of just on 30% versus the Q1 last year and grew to account for 36% of our total company business. Changes in foreign currency exchange rates compared to Q1 fiscal year positively impacted the quarter sales in the region by approximately $2 million or 8%. In our direct markets our sales in Europe were up 24%. We have direct sales force operations in the UK, Spain, Italy, France, Germany, Portugal, Austria, Denmark and the Netherlands. The European direct markets grew 24% over the first quarter of last year while sales were flat in the UK we enjoyed significant growth in other territories as follows: France increased 56%; German, Switzerland, Austria, Denmark and the Netherlands were up 42%; Spain and Portugal were up27%; and Italy up 19%. Direct markets accounted for 63% of the total European sales in the current fiscal quarter down from 65% in Q1 last year. Our European distributor business we sell through independent local distributors in eastern and northern Europe and the middle eastern Africa. All European distributor markets combined grew over 40% in the first quarter over last year. The distributor markets grew to account for 36% of the European segment up from 35% in the same quarter last year. Now, looking down to the Asia Pacific trading block we had sales of $7.2 million in the quarter. That was an increase of some 46%. Asia Pacific sales are approximately 9% of the company’s total compared to 7% total in the same quarter last year. Asia Pacific benefited from increased lubricant sales both in Australia and Asia as well as increased Novak and soluble sales in Australia. Changes in foreign currency exchanged rates compared to the same period last fiscal year positively impacted the sales by approximately $400,000 or 6%. Looking at Asia separately from Australia the region represents long term growth potential for the company. While the company has historically sold to Asia through third party marketing distributors to help accelerate the growth in the region the company began direct operations in China in 2007. We are pleased that our sales in China grew by 34% in Q1 over the first quarter last year. Other Asian distributor markets grew by 52% in the first quarter. Sales across the region were up including Indonesia, Korea, Malaysia, The Philippines and Singapore. The increased sales are a result of both increased promotional activity and the ongoing growth in awareness and penetration of the WD-40 brand. The strong growth in China and Asia distributor markets led to the total sales in this region increasing some 47% over the first quarter of last year. Australia on its own sales were up 44% over the fist quarter last year primarily due to the sales growth of WD-40 and Novak. Sales of WD-40 benefited from account specific promotional activity with key customers as well as continued broad distribution across all trade channels. Novak continued to gain market share in Australia growing the aerosol rug and room deodorizer category. That’s it for the sales update. Now, I’ll just turn over to Mike Irwin who will continue to review the financials.
Michael J. Irwin : In addition to the information presented on this call we suggest that you review our 10Q that will be filed today as well. As Gary has already covered the sales in detail we’ll continue with the rest of the financials. On the first quarter results gross profit was 47.3% of sales in the quarter compared to 47.9% of sales in Q1 last year. This slight decrease to gross margin was primarily due to higher costs of goods and shifts to product mix partially offset by price increases. Costs have risen for components and raw materials including aerosol cans and petroleum based products and has negative affected gross margins and all over the company’s regions. Timing of promotional activities also contributes to the fluctuation in gross margin from period-to-period. Selling, general & administrative expenses for the first quarter increased 11.4% versus Q1 last year which ranged then from $19.1 million to $21.2 million. SG&A costs increased slightly as a percentage of sales from 26.5% in Q1 last year to 26.8% in the first quarter of this year. The higher SG&A stands in part from higher freight costs of $900,000 due to global sales growth and increased fuel costs across all regions; higher salary and fringe expense of $500,000 which includes additional staffing to support global sourcing and inventory management and our direct operation in China; higher professional services expense of $300,000 primarily in legal costs; and about $600,000 of the SG&A expense increase was due to changes in foreign exchange rates. Excluding the exchange rate effect SG&A would have increased by 8% in the first quarter. Advertising, sales and promotion expenses increased to $6.6 million in the first quarter from $5.6 million in Q1 last year and as a percent of sales grew to 8.4% from 7.8% in the first quarter last year. The increase in the current period is related to the timing of investment in advertising activities primarily the 1001 TV campaign in Europe which began in Q4 and continued into Q1 of this fiscal year. Operating income for the quarter was $9.5 million or 11.9% of sales compared to $9.6 million or 13.4% of sales in Q1 last year. Net interest expense for the quarter was $0.4 million down from $0.7 million in Q1 last year. The lower net interest expense was primarily due to the reduced principal balance on our long term borrowings as the company made it’s annual $10.7 million principal repayment in October, 2007. The company also benefited from increased interest income resulting from higher cash balances versus Q1 last fiscal year. The provision for income taxes was 33.4% for the current quarter a decrease from 35.8% in Q1 last year. The company benefited from additional municipal bond interest and increased in benefits related to qualified production activity, a decrease in foreign tax rates and one time benefits associated with the settlement of state and foreign tax matters. These benefits partially offset by the loss of the ETI deduction and an increase in state tax. Net income in the quarter was $6.2 million up 9.4% from Q1 last year. Foreign currency exchange rates period-over-period had a positive impact of $0.3 million on Q1 2008 net income and on a diluted per share basis earnings were $0.36 per share compared to $0.33 in Q1 last year. Diluted shares outstanding decreased to 17.1 million shares compared to 17.2 million for the prior first quarter. On December 11th the Board of Directors declared a regular quarterly dividend of $0.25 per share payable on January 31, 2008 to shareholders of record on January 8, 2008 and based on today’s closing price of $36.34 the annualized dividend yield will be 2.8%. About our balance sheet at November 30, 2007 cash was $50.4 million down from $61.1 million at the end of the fiscal year due to the annual $10.7 million principal payment on long term borrowings made in October. Accounts receivable increased slightly from $47.4 million up $0.2 million from the end of last year and inventories increased to $15.7 million up by $2.5 million. The increase in inventory was a result of timing in the UK and the acquisition of inventory from VML which is a contract manufacturer and warehouse distributor for the company. In Q1 the company acquired an additional $0.8 million of certain finished goods manufactured by VML which had previously been owned in warehoused by VML under the company’s historical contract manufacturer model. As the company transitioned to direct management of these finished goods it acquired inventory from VML to supply its distribution centers. The purchase of VML manufactured goods will continue going forward. Current liabilities at November 30, 2007 were $50.8 million down from $53.9 million at the fiscal year end. Accounts payable and accrued liabilities decreased by $1.3 million due to timing of payments, accrued payroll and related expenses were down $2.6 million primarily due to decreased bonus accrual as the company paid its fiscal 2007 bonuses during Q1 of fiscal 2008. Income taxes payable increased $0.8 million due to the timing of payments for federal income tax. As you may remember on March 27, 2007 the company’s Board of Directors approved a share buy back plan. Under the plan which is in effect for up to 12 months the company is authorized to acquire up to $35 million of the company’s outstanding shares. The company did not acquire any shares under the plan in Q1 of fiscal 2008. However, the company has acquired 500,000 shares at a total cost of $17.3 million under the plan since its inception. That’s the financial update. Again, more information is available on the 10Q that’s filed today. Thanks very much and back to Gary Ridge.
Gary O. Ridge : We believe we’re on track with our guidance for fiscal 2001 which we issued at our last conference call despite the challenges we continue to see in cost of goods and the fluctuation performances within the total categories of household products. We continue to focus on growing sales and improving gross margins from both innovation activities and costs reduction initiatives. Here’s a recap of the guidance for fiscal 2008. We expect our sales to grow from between 7 and 10% to $329 or $339 million and that will be driven by continued geographic expansion, market penetration and new products. We expect for the full year our advertising and promotion investment to range somewhere between 6.5 and 8.5% of sales. We expect net income to range between $31.1 and $32.8 million which would achieve an EPS ranging between $183 and $193 assuming 17 million share were outstanding. Today we also released our new four year goals extending from fiscal year 2007 to 2011. With that update we’d like to share what we see as we look at our business today. We see lubricant sales growing at a compounded annual growth rate over that time of between 8.1 and 9.9%. We see household product sales growing at a compounded annual growth rate of between 3.6 and 6.1%. We see our hand cleaner business to be relatively flat. Our total sales over that period growing at a compounded annual growth rate of between 6.7 and 9.7% and our net income at a compounded annual growth rate of between 9 and 11%. Earnings per share growing at a compounded annual growth rate of between 9.4 and 11.5% based on an assumed 17 million shares outstanding. These goals do not include any impact that may come from any future acquisitions. We continue to look for the right acquisition of well known niche brands that can be entirely integrated into our business and new four year goals do not include the impact of any further new acquisitions. Just as a reminder our second quarter fiscal 2008 earnings conference call is scheduled to take place on Wednesday, April 9, 2008 at the same time. I’d like to now turn the call over for any questions.
Jeffrey Zekauskas – J.P. Morgan Securities: When you sell a can of WD-40 with smart straw what’s the average price differential versus a can of WD-40 without smart straw?
Gary O. Ridge : At a retail level its about 30% higher than a normal can.
Jeffrey Zekauskas – J.P. Morgan Securities: So, maybe $0.90 higher?
Gary O. Ridge : About $1.
Jeffrey Zekauskas – J.P. Morgan Securities: How much have you converted over in the United States of your cans of WD-40 so far?
Gary O. Ridge : We’ve run primarily promotional programs with selected sizes over the past couple of years as we’ve been testing the concept. The majority of the conversion which will be most of the cans that we sell in aerosol sizes in the US will commence in March of this year and will be final about middle to the later part of the year as we phase it into all of our customers. So far, the promotional size that we’ve used has only been on the 12 ounce can.
Jeffrey Zekauskas – J.P. Morgan Securities: So, if it’s $1 at retail is it maybe $0.50 at wholesale?
Gary O. Ridge : It depends on the customer and the distribution Jeff. But, certainly the wholesale price and the cost price does rise in line with somewhat the retail percentage.
Jeffrey Zekauskas – J.P. Morgan Securities: In the quarter did you say how fast WD-40 grew in North America or the United States?
Gary O. Ridge : In the Americas our lubricant sales for the quarter were just off slightly. I don’t have the exact figure in front of me. Mike do you have it there?
Michael J. Irwin : In the case of WD-40 in the US WD-40 sales were down 4%.
Jeffrey Zekauskas – J.P. Morgan Securities: How about sales to Wal-Mart as a percentage of the total? You usually disclose that in the Q.
Gary O. Ridge : Yes, we have disclosed it in the Q and because of the shift of our business where we’ve got now Jeff substantially more business overall outside of the US in fact, two-thirds of our business is now outside the US I recall how south Wal-Mart with 7% down from 9% as a total of our total sales.
Jeffrey Zekauskas – J.P. Morgan Securities: In the quarter there was other income of $300,000. What is that?
Michael J. Irwin : With the other income, we do own a manufacturing facility in Memphis which is utilized by VML which is a manufacturing partner and part of that other income includes the rental for that property and we also have the foreign exchange gains on there as well.
Jeffrey Zekauskas – J.P. Morgan Securities: There’s some FX gains. Is that a representative number of the year Mike? Or, how do we think about the other line for the year?
Michael J. Irwin : We don’t guide on that line in particular. And, as you can probably imagine in the case of the foreign exchange gains and losses that’s a moving target anyway.
Jeffrey Zekauskas – J.P. Morgan Securities: But, it sounds like you had some gains in the quarter?
Michael J. Irwin : Yes.
Jeffrey Zekauskas – J.P. Morgan Securities: Lastly, in your longer term projections you have positive growth for household products but for periods of time we’ve had negative growth. When does that business begin to turn around from a sales point of few?
Gary O. Ridge : We had a slight downturn last year, a gain of 10% the year before. It’s really surrounded the introduction of new products and our belief that we’re going to get some traction from those new products. We have guided down the growth a little bit but that’s the way we see it. As we’ve guided up the growth a little bit in our lubricant products. So, we’ve got some new product particular in the green clean area of Spot Shot that we’re now launching. But, that business is very dependant on the – I’ve described in Jeff as being cyclical but sustainable. It is harder to predict than our other business because there are so many moving parts but we’re hoping some of the new product development will get some traction and you’ll see some of that into the later part of this year. As you would expect our lubricant business you will see as we convert it’s going to be a bit of a muddy year in converting the biggest brand that we have in the biggest country that we have into smart straws. So, there’s a little bumpier water this year in that area than we’re normally use to.
Operator: Our next question will come from Liam Burke with Ferris, Baker Watt.
Liam D. Burke – Ferris, Baker Watts Incorporated: Gary can you give us a little more detail on the supply chain disruption on the household side in the US?
Gary O. Ridge : We had a [confafel] that’s the best I can describe it.
Liam D. Burke – Ferris, Baker Watts Incorporated: Is that a technical term?
Gary O. Ridge : Yeah, it’s an English term which probably I shouldn’t describe in an open forum but it means not a good thing. One of our suppliers had some supply manufacturing issues in the quarter and we loss sales due to out-of-stocks in our X-14 and some of our automatic toilet bowl cleaning products and it caused us to miss shipments on promotions in a couple of areas. Bottom line is it costs us about $1 million in sales that we’re not very happy about. Not to say that there’s any excuse but fortunately, this doesn’t happen to us very often. We’ve now substantially rectified the problem we now have back up supplies for all of the areas where we had the issues so those sale disappeared and we weren’t happy that happened and I apologize for it.
Liam D. Burke – Ferris, Baker Watts Incorporated: Mike, you mentioned that the ad and promotional line was up partially as a result of programs for 1001 promotion in the UK that spilled into the first quarter. But, the 1001 sales were down 11% in the UK. Wouldn’t you have gotten some benefit from that promotion in the first quarter?
Michael J. Irwin : We obviously would expect that we would get returns on the advertising investments we make but, we believe that in our business the response isn’t necessarily an immediate one and that there’s a lasting benefit of the advertising that we do run.
Liam D. Burke – Ferris, Baker Watts Incorporated: On the cash flow statement the payables line was an outflow this quarter. Is that a timing issue or is there something else in there?
Michael J. Irwin : It was a timing issue.
Operator: You now have a question from Frank Magdlen with Robins Group.
Frank Magdlen – Robins Group: We’ve gone over most of it but in the cans are you going to reduce the can size offerings in the US and if not what will they end up being anyway?
Gary O. Ridge : We’re going to reduce the number of size cans we sell. Currently we have about seven or eight different sizes or cans. For example 2oz, 5.5oz, 8oz, 9oz, 11oz, 12oz, 13.2on. We’re going to reduce them down to primarily five but the majority will be three. That is a strategic move that we made in this change to try and get some more volume out of fewer sizes to take some complexities out of the supply chain, to use those volumes to help us offset some pricing and to really make it an easier range of products to handle.
Frank Magdlen – Robins Group: Gary, when you’re looking at your gross margin how dependant now since we’ve been through an extend period of rising costs and I know you’re reluctant to raise prices but, are you going to ultimately become dependant on raising prices? I think you’ve done two in the last couple of years. Is that correct?
Gary O. Ridge : We’ve done two in the last three years in the United States. When we go out with smart straw of course we’re going to have a material move in our price because the cost of manufacturing is going to go up. But, there are four ways that we’re looking at this: innovation, supply chain evolution and actual price itself. So, we will take pricing where we can, where it’s prudent. My main concern is and it will always be there is that we’re not going to – when you’ve got an 80% market share it is not prudent to open up the market with greedy pricing to allow others to want to come and play. So, it’s a very, very considered balance that we have. But, we are taking pricing. And again, one of my stated goals and we will do this until the sun sets and rises is to work on improving that gross margin again even in the headwind. Who would have thought that we’d have $100 oil barrel price this week? We’re still going to end up as that industry gets monopolized so we’ve got to continue to work hard [inaudible] through innovation and better supply chain evolution and pricing.
Frank Magdlen – Robins Group: I don’t envy you on that side of it. But, what have you spent on R&D? Or, what’s the budget for the coming year?
Michael J. Irwin : You know Frank, historically I think if we look back our R&D investment has been in the range of about $3 to $4 million a year. That takes the form of the things we do directly. We have a group of people who we call team tomorrow who are focused on developing new products as well as improving the things that we have. We also through them, utilize an outsource network of other current and potential suppliers who develop on our behalf and at our direction and we feel like we get good leverage on the dollars we invest in R&D.
Gary O. Ridge : And Frank, you know smart straw which his the biggest thing that has ever happened to this brand in 55 years came out of five or six years work of our R&D group to be able to make sure we could deliver above expectation performance at extremely good value and to take our product and be able to raise the price and still have our consumers leave with a smile and come back expecting to be amazed and fulfilled. Smart straw is the biggest thing that we’ve done in 55 years.
Frank Magdlen – Robins Group: I like the product. I use it. And, as you say, “There’s one less expletive deleted every time you use it.”
Operator: We’ll hear from Alan Robinson, RBC.
Alan Robinson – RBC Dain Rauscher: Regarding the sort of increase in the distribution of the smart straw format there what kind of one time cost increase do you expect going through the third quarter associated with that roll out?
Gary O. Ridge : Already within our plan we’re saying that we’re going to be turning up the volume on our consumer communication but other costs increases which will be the normal ones will be the costs increases in cost of goods related to the smart straw itself most of which or all of which will be offset by the increase costs that we will flow through to the consumer. We don’t see any unusual operational costs, no unusual delinquencies or redundancies that will happen. There may be a few bips and bops here and there but there’s no unusual third quarter costs that we would see that is not already reflected in the guidance that we’ve given.
Alan Robinson – RBC Dain Rauscher: And there’s no particular change in tooling costs or anything like that?
Gary O. Ridge : Oh yeah there is but that’s cap ex and we’ve already – we don’t guide quarter-to-quarter and that it’s interesting even without guiding quarter-to-quarter this quarter’s net income is about the same percentage of sales as it was the first quarter of last year and we’re on track. The rockets off and let’s wait for it to land.
Alan Robinson – RBC Dain Rauscher: In terms of the costs of goods of the new smart straw can how much more expensive is that in a cost of goods perspective compared to the traditional can?
Gary O. Ridge : Well, we don’t actually give the detail of it but it is more expensive because we are replacing what is basically a single button actuator with a very complex and highly engineered spray device that allows the product to spray both in it’s normal format and out of the straw. Overall, we hope that we’re going to get a higher revenue in dollars and a gross margin percentage equal to or better than the one we have now.
Alan Robinson – RBC Dain Rauscher: One of the big differences compared to my expectations this quarter was regarding advertising and sales promotion. I know you don’t typically guide quarterly for that line item but in general terms for the year what kind of percentage of revenue range do you see that line item accounting for this year?
Michael J. Irwin : We see that ranging between 6.5 and 8.5% of sales for the full fiscal year.
Alan Robinson – RBC Dain Rauscher: Okay so no change there. One last question – something I noted in the recent filing you put out, I guess it was the 10K, was an added risk regarding the possibility of an impairment relating to goodwill surrounding some of your household product acquisitions. Now, given you’ve got what about $96 million of goodwill on the balance sheet roughly what proportion of that goodwill is accounted for in terms of the household products acquisitions that might be at risk?
Michael J. Irwin : I guess just in general at looking at our business because the biggest asset that sit on our balance sheet are the ones that we acquired and the ones that we acquired are essentially nearly all related to the household products so it’s really the whole thing.
Gary O. Ridge : And, that’s again just annual as a stating basis, stating the risk factors within the business. It can’t impact the goodwill of WD-40 because the goodwill of WD-40 is already embedded within our business.
Operator: (Operator Instructions) It appears there are no further questions at this time. Mr. Ridge I’ll turn the call back over to you.
Gary O. Ridge : Thank you all for joining us and again we remind you that our next conference call will be on April 9, 2008 at 2:00 pm and until then stay squeaky clean and keep spraying.
Operator: Once again thank you all very much for joining us today. That does conclude the presentation. Have a great afternoon.